Operator: Good morning. My name is Regina and I will be your conference operator today. At this time, I'd like to welcome everyone to the WideOpenWest First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions].  I would now like to turn the conference over to Andrew Posen, Vice President, Head of Investor Relations. Please go ahead.
Andrew Posen: Good morning, everyone, and thank you for joining us for our first quarter 2022 earnings call. With me today is Teresa Elder, WOW!'s Chief Executive Officer, and John Rego, WOW!'s Chief Financial Officer. Before we get started, I would like to remind everyone that, during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the Safe Harbor provisions of the federal securities laws and are subject to known and unknown risks, uncertainties and other factors that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements.  For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the Risk Factors section of our Form 10-K filed with the SEC as well as the forward-looking statements section of our press release. In addition, please note that, on today's call and in the press release we issued this morning, we may refer to certain non-GAAP financial measures. While the company believes these non-GAAP financial metrics provide useful information for investors, the presentation of this information is not intended to be considered in isolation, or as a substitute for, the financial information presented in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for our historical reported results can be found in our earnings releases and our trending schedules, which can be found on our website. We've also included a presentation this morning to complement our prepared remarks. Now I'll turn the call over to WOW!'s Chief Executive Officer, Teresa Elder.
Teresa Elder: Thanks, Andrew. Welcome to WOW!'s first quarter earnings call. Our business has gotten off to a great start in 2022, picking up right where we left off at the end of last year, successfully executing our plan to grow our high speed data business.  We shared our path forward and outlined the steps we're taking to get there – expanding our footprint through continued edge-outs, greenfield expansion, and increasing the contribution from our commercial business. I'm pleased to report we're making progress on all three fronts, and they're beginning to show up in our results.  For the first quarter, our high speed data revenue increased nearly 4% on a pro forma basis, while video and telephony revenue declined 14% and 11%, respectively, from the same period last year. Our pro forma adjusted EBITA increased nearly 8% to $66.4 million, driven largely by the growth in our high margin high speed data business. The pro forma adjusted EBITDA margin was 38% for the quarter.  The metrics in our high speed data business also continue to show strength. During the first quarter, we added 3,300 high speed data RGUs, bringing our total number of HSD RGUs to 515,000. With consistent levels of low churn, we once again increased the total number of subscribers both year-over-year and sequentially, ending the quarter with 535,000.  Our focus on adding HSD only customers also continues to pay off as we have once again maintained a sell-in rate of approximately 87% of new customers, purchasing our HSD only service for the seventh consecutive quarter.  Consistent with last quarter, a majority of new customers are buying speeds above 500 meg and 85% of new customers are buying speeds over 200 meg. High speed data ARPU of $65 is up marginally from the same period last year, but slightly lower than last quarter. The year-over-year increase predominantly reflects customers purchasing higher data speeds, while the sequential decline was driven by an increase in promotions in the first quarter.  Our edge-out strategy continues to deliver growth in homes past and higher penetration rates. Penetration for the 2020 vintage increased to 23.5% and the 2021 vintage grew to 35%. We are pleased with the growth of our edge-out vintages, which continue to be increasingly productive. As we've said before, we believe the performance from our edge-out investments reflects the strength of our core business and supports our confidence in our ability to grow penetration quickly in future greenfield markets.  This morning, in a separate press release, we announced that we are doubling our greenfield expansion plans for homes past to 400,000 by 2027, a 21% increase to our current footprint, and now expect to invest a total of $400 million as a part of this process. The increase reflects the momentum we're seeing in Central Florida, where we identified an additional 50,000 homes and our latest greenfield market Greenville County, South Carolina, where we plan to add nearly 30,000 homes past.  The combined success of our efforts in Central Florida and South Carolina led us to increase our investment plans and long term targets which John will review in his comments.  We are also quickly moving forward with our entrance into the mobile market, with WOW! Mobile powered by Reach. We are on target to officially launch the offering in one of our southern markets later this month, followed by an enterprise-wide launch earlier in the third quarter. We're excited to provide our customers additional flexibility to stay connected on a reliable, no contract cellphone plan with unlimited talk and text.  Our partnership with Reach enables WOW! to quickly enter the mobile market with minimal operational or developmental work on our part. We believe this additional service offering will further enhance customer acquisition and retention, while providing a great service that our customers have been looking for.  To conclude, I'm pleased with our first quarter results, the strong start to the year and our significantly increased expectations of our greenfield plans. While 2021 capped off a significant transformation of the company, 2022 is the beginning of the next stage of our continued growth through the execution of our broadband first strategy as a low leverage high growth company. We're excited about the opportunity in front of us as we drive further growth in our organic footprint, including both residential and commercial customers and expanding our footprint through self-funding, greenfield builds. Now, I'll turn the call over to John who will go over our financial results in more detail.
John Rego : Thanks, Teresa. Our first quarter delivered solid results as we continued to execute on our broadband first strategy and make progress on the opportunities ahead.  In the first quarter, total revenue declined 3.8% to $174.6 million, reflecting a 3.6% increase in high speed data revenue, more than offset by declines in video and telephony, which decreased 13.8% and 11.3% respectively. The growth in HSD revenue is predominantly driven by the addition of new customers, as well as existing customers buying higher speed tiers, which has pushed our pro forma adjusted EBITDA up 7.8% from the same period last year to $66.4 million.  On the next slide, we continue to see our incremental contribution margin increase on a year-over-year basis as a result of the favorable shift in our base to HSD-only customers. Incremental contribution margin increased 520 basis points from the same period last year, but modestly declined from last quarter, largely due to the first quarter annual programming rate increase for our video subscribers.  Margin expansion, paired with operational cost efficiencies, has driven our pro forma adjusted EBITDA margin to 38%.  Now for a progress update on our cost structure alignment following the divestiture of the five service areas. As of the first quarter, we cut an additional $1.4 million out of the business, bringing our total savings to $10.7 million. This represents approximately 30% of the $35 million we identified for reduction over the next few years.  These reductions in our costs are primarily from a decrease in headcount, as well as costs incurred in services related to the TSAs as part of the divestitures. The latter are also reflected in our SG&A as we continue to incur the expense, but are reimbursed for the costs which are presented in other income. We're encouraged by the pace of the reductions in our cost base.  We ended the quarter with total cash of $190.7 million and total outstanding debt of $751.2 million, resulting in a pro forma leverage ratio of 2.6 times, adjusting for cash held for taxes related to the transactions. Approximately $140 million of taxes were paid in April, which will be reflected in our second quarter financials.  In the first quarter, our CapEx from continuing operations decreased by $1.9 million from the same period last year to $42.1 million. This improvement is primarily due to decreased spend of CPE and service enhancements, offset by investments made in expansion CapEx, primarily supporting the growth of our commercial opportunities.  If you look at the right side of the slide, our first quarter results for unlevered adjusted free cash flow, which we define as pro forma adjusted EBITDA less CapEx, increased to $24.3 million, up $6.7 million from the same period last year, setting a path to fund the ramp of greenfield investments later this year.  Finally, before we open up the call for questions, I want to talk about our updated long-term targets and our outlook for the second quarter. This morning, we announced that we are doubling our plans for the greenfield expansion to 400,000 homes passed by 2027. We'll be able to fund this growth utilizing cash from operations and do not anticipate having to increase our leverage. We're really pleased with the progress we've been making and executing our greenfield plans and the speed with which we have identified our future markets. We will be increasing the amount of allocated capital from $200 million to $400 million.  As a result of this increased investment, we're also updating and increasing the long-term targets that we set at our Investor Day. Although our expansion capital expectations for this year will not change, the average annual spend for 2023 through 2025 will increase to slightly more than $100 million per year.  We now expect the CAGR for HSD revenue to be between 11% and 12%, up from the previous target of 9% to 10%. The CAGR for total revenue will increase to 2.5% to 3%, up from 1% to 1.5%. And the CAGR for adjusted EBITDA will increase to 10% to 11%, up from 8% to 9%.  Now I'd like to discuss our outlook for the second quarter and full year. We expect HSD revenue to be between $104 million and $107 million, total revenue to be between $177 and $180 million and adjusted EBITDA to be between $68 million and $71 million. We also expect HSD net additions to be between 1,000 and 2,000.  For the full year, we're maintaining the guidance we set last quarter, with HSD revenue expected to be between $427 million and $430 million, total revenue to be between $708 million and $711 million, and pro forma adjusted EBITDA to be between $281 million and $284 million. We also continue to expect HSD net adds to be between 14,000 and 17,000 for the year. Our guidance across these metrics are in line with today's updated long-term targets.  In closing, this was another strong quarter for WOW!. We're thrilled about the growth ahead as we continue to make good progress in executing our broadband first strategy, expanding on our momentum, and delivering strong results.  And now we would like to open up the line for questions.
Operator: [Operator Instructions]. Our first question will come from the line of Kutgun Maral with RBC Capital Markets. 
Kutgun Maral: A few, if I could. First on broadband subscriber trends. Can you talk a bit more about the underlying dynamics you saw in Q1 and what's driving your expectations for the 1.000 to 2,000 net adds in 2Q? And perhaps, most importantly, based on your guidance, what's giving you the confidence that you could see the acceleration from the first half of the year into the back half of the year?  And then, just on the greenfield expansion plans, I think it's encouraging to see the ramped investment and doubling of expected homes passed from 200,000 to 400,000. At the Analyst Day, last December, you had already somewhat signaled that you could envision a path expanding homes passed with greenfields to 400,000 or more. So, presumably, back then, you had some sense that there was scope to increase your targets. So, I guess, the question is, as you look ahead, would you expect to stay at the 400,000 range? Or are you in this constant state of evaluating additional markets, which might result in continued increases in the total target? 
Teresa Elder: I'll go ahead and start off. First of all, on broadband subscribers, we were very encouraged by what we saw out of the gates in the first quarter. This was a significant uptick from what we saw in the fourth quarter last year. And I think what we're really seeing is how well WOW! can compete in the marketplace for what customers are looking for, which, of course, is our speed and our reliability, but also making sure we have that strong value. We provide a choice to the other alternatives in the market. And we do that really by being easy to do business with. And that really shows itself by not having contracts, the ability to have self-install and many of our installations are also same day. So, those who we resonate with the customers in the marketplace. So that's why I think those are some of the drivers of why customers come to WOW!.  As we look at the second quarter, I really believe that we're starting to return to some normal seasonality in second quarter in our industry. If you go back a couple years, back when things were a bit more normal, the second quarter would usually step down a bit as kids come home from school, back in with parents. And so, we think that normal seasonality is more likely to happen. We have confidence in the second half of the year once again because of that seasonality, but also because of the way that WOW! competes in the marketplace, like I mentioned. We also are seeing with the addition of our mobile launch that happens in later this month and then rolling out to more markets later this year, that will give us added competitiveness. We're also continuing to see more greenshoots on the commercial side of the business. And I really believe, as we launch more new products in the commercial space as well, all those things really give us confidence for our full-year numbers.  So, then turning to greenfield, the second question that you have there, we are encouraged by what we're seeing and decided to step up to the 400,000 homes passed by 2027. You're right we did say that we were thinking about that back on Investor Day and everything that we've seen in the market has just reinforced what a great decision that will be. And I would certainly point to the great penetration growth that we're seeing in the edge out, especially the most recent vintage of 2021.  Right now, what we're trying to do is continue to fund greenfield through our free cash flow. And we think 400,000 homes passed feels about right for that. But certainly, we'll always be opportunistic and continue to look further.  And, John, is there anything else you'd like to add on that? 
John Rego: Again, Kutgun, the idea here is that we fund it from the cash flow that the business can produce. But on the other side of the boundary is this concept of leverage. So, as you recall from Investor Day, I suggested the board sort of mandated that we never go above 3.5 times. We're at 2.6 times now. So if there was some amazing opportunity, we could think about it then. But for now, we're looking at 400,000 homes, and we'll fund the build out of that from the cash that we generate.
Kutgun Maral: If I could just sneak in one more on maybe M&A. You've clearly had a very transformative 2021 with asset sales. Do you see additional opportunities in today's environment for any sort of M&A? 
Teresa Elder: Right now, we are just so excited and focused on running the business, executing on the plans we have within our organic footprint, as well as what we're doing with greenfield. So we're just excited by what's ahead for WOW!. 
Operator: Your next question will come from the line of Batya Levi with UBS. 
Batya Levi: Few questions on the cost side. Can you talk about what you're seeing in the current environment and the impact of inflation on the business versus your expectations? And two other cost items potentially, the ramp up in mobile costs, is there a way to quantify and when you think that will peak? And any plans to accelerate the exit of the video service, so that we can see the ramp in contribution margin even more? 
Teresa Elder: John and I will tag team on this, Bhatia. First of all, on inflation, I would say, our costs, I feel like we maintain extremely well. And John talked a little bit about some of the costs we're taking out of the business on overhead as well. That allows us to continue to have very attractive prices for our customers and be the best value in the marketplace.  On the mobile costs, I'll talk about that briefly, touch on each of your questions and hand it over to John. But on mobile, the ways that we're getting into the mobile business is really very low cost, low operational impact to us. We're working with our partner Reach Mobile, who is doing their core business, which is a lot of the heavy lifting for us. So, it really is not a big cost to us, that allows us for another service to our customers that they're asking us for and trust us to provide. So, I think it's very positive, the way that we've approached that.  And then, finally, taking the video cost out of the business has been a core strategy of WOW! since we went with the strategy of broadband first at the beginning of 2020, and customers of their own volition are continuing to cut the video cord and buying bigger broadband packages. That's why over 50% of our new customers are now buying 500 meg services and looking at streaming services. So, that trend is continuing. As customers shift to more broadband and away from video, that decrease is cost in our business.  With that said, we still continue to provide video services to those customers who want to have a pay TV or curated service. And there are costs that go up from the programmers and we do have to pass on those costs. John?
John Rego: Just something quickly, Bhatia, on mobile piece. The way this is structured, for a modest amount of money, we set up the program with Reach. There are no ongoing costs. It's a rev share. So, as we start to see this come in in Q2, when we launch in the end of this month, we'll be just booking our rev share into the other revenue line items. So, there's no specific cost that's associated with that. I think that's one.  On the inflation impact, I'm sure inflation impacts everything. Interestingly enough, there's a lot of government programs out there that will give people some relief. So it hasn't really negatively impacted us at this time. But, certainly, we're abreast of the issue and we'll keep on top of it.
Batya Levi: Maybe just a quick follow-up on the CapEx commentary you gave. Can you just clarify if you expect the pacing to be pretty linear exiting this year as you double [indiscernible] and just if you could go over sort of CapEx targets over the next two years?
John Rego: I think the answer to the first part of that is yes. I think after we get through this year, it should be the pace should be more linear. Because this is the first greenfield year, the bulk of that sort of expansion CapEx, which we pegged at $80 million for this year is going to come in the second half of the year as we start to do the building. The first part of the year with greenfields was like identifying the properties and doing some of the upfront permitting and all of that kind of stuff.  When we look at the CapEx going forward, the three-year average spend on CapEx is going to be approximately $225 million on average per year, of which about $104 million, $105 million of that will be for growth. Growth here is greenfield, plus edge-out, plus commercial, and the biggest part of growth will be greenfield. And that will be more linear as we as we go forward because the properties have been identified and the crews can start doing what they have to do.
Batya Levi: Final one for me. Do you see any opportunities to tap into state funds as you build greenfields?
Teresa Elder: We really aren't targeting those areas as our top criteria. So, certainly, we will be opportunistic if some of those arise. But we're sticking to the criteria in those areas where we know we could be most successful and penetrate the customer base and really provide customers with an alternative rapidly. 
Operator: Your next question will come from the line of Frank Louthan with Raymond James.
Frank Louthan: I want to talk a bit about competition in the market. There's a concern in the market that increased competition from new entrants is going to drive pricing down and impairing terminal multiples. Since you've been in the business of taking share from cable for over two decades, I want to see what you think of this. Can you give us an idea of how much pricing changes when you enter a market? What your modeling for ARPU when you enter it? What do you see in the real world for incumbents from a pricing perspective when you come into the market?
Teresa Elder: You're right. It's really them the DNA of WOW! for the 22 years we've been in business, to be the challenger brand and come in and really give customers a choice, to have much more competition in the marketplace.  We have value pricing that is generally a bit lower than the others that are in the marketplace. And that resonates with customers. But what really have customers stick with us and why we have such low churn are the speed, the reliability, and the suite of services that we have, along with how easy we are to do business with. And that's what keeps customers with us.  So. when we go into a new market, what's nice about the revisions we've done to our billing systems, consolidating down to one billing system, we now have the capability of being even more hyper local, with pricing and with packages to make sure that we can be competitive, whatever the dynamics are of the local market.  As we look at greenfield, we're going into markets that have traditionally not had so much competition. And so, we'll be bringing that new dynamic. I can't say that we've seen in, for example, [indiscernible] really a lot of immediate reaction from competitors coming in. But the nice thing about WOW! is that we can always be nimble if that arises. Does that answer your question, Frank?
Frank Louthan: Yeah. When you say you're coming a little cheaper, is that a few – 2% or 3% cheaper or 20% cheaper? What do you think you need to do to get people's attention on the pricing front? It sounds like it's more of an offering and service-based decision, but can you be a little bit more specific on the pricing front?
Teresa Elder: I'd say it varies because pricing is always dynamic, with promotions and all the different things that are out there. But I'd say we're probably 5% to 10% cheaper, usually. We make sure we're competitive with the offerings, with the service, with everything. It's that whole bundle. They don't have contracts. And to be clear, we don't require customers to bundle it with video, which most of our competitors do. 
Operator: Your next question will come from the line of Brandon Nispel with KeyBanc Capital Markets. 
Brandon Nispel: Couple of quick ones. You talked about HSD ARPU pressure from promotions sequentially this quarter. Can you maybe outline how you expect HSD ARPU to trend throughout the rest of the year? And maybe on that point, you make a point to call out your mix of 200 meg and above customers, curious if you could share you’re your gigabit sell-in is today and how you see that trending over the course of the year and maybe over the next couple of years. 
Teresa Elder: On HSD ARPU, yeah, it was down a bit sequentially. And really, that's because of some of these competitive promotions that we're doing, really trying to gain share. And we are a share taker in the marketplace. So, that is one thing with all the advertising that goes on about that broadband promotions that all of our competitors do, it causes customers to look around and see what alternatives are out there. And that's good for us. Because we always compete very well.  When I look ahead for HSD ARPU for the rest of the year, I think it will probably start to pick up again a bit as we see customers continuing to take those higher speeds. And as you pointed out, we are having over 50% now of our customers, they're new customers, taking the 500 meg service. And many of those are taking 1 gig. We usually don't call that number out specifically. Most of our customers now are 200 meg and above and the majority, over 5o%, are taking 500 meg. And we just like to keep moving them up as they have that great customer experience. John, anything else you want to add because I know there's some accounting rules in there that make ARPU change a bit sometimes too.
John Rego: We're also always fighting the ASC 606 complicated calculations which did have a modest effect on ARPU. But it's been predominantly some promotional activity [indiscernible]. But from where we're sitting right now, it looks like we have a chance to stabilize and start going up again. 
Operator: Your next question will come from the line of Dan Day with B. Riley Securities.
Dan Day: Look, just given you're so early in this greenfield build and you've really ramped it up here, maybe if you could just give us a little more detail on what it was that you've seen so far, any data points or just general commentary on what you've seen with your existing greenfield that led you to double it?
Teresa Elder: Our criteria when we first launched greenfield and started talking about it back at the end of last year is that we really looked across the whole continental US and looked at markets with good population demographics, as well as a less competitive industry dynamic and intensity in those markets. And then we overlaid with that our understanding of the cost to build, our assumptions on ARPU and our penetration. And all of this is with a targeted IRR in mind. So, those are the kind of broad-based criteria that we use.  As we've looked more closely and gotten to know the community of Orange County and Seminole County in Florida better and really understood the mix of households there, we were thrilled to be able to say, wow, there's another 50,000 homes passed that we'd be delighted to serve in this market. So that takes that market alone up to 150,000.  In addition, we really were impressed by the market of Greenville County, South Carolina, and are delighted to add them to our mix as well. So that's 180,000 homes passed that we've identified already. And as we look down our list of opportunities, we just see a lot of opportunity.  Right now, I'd say our biggest limiting factor is really how much we can do and stay with our criteria of funding it through free cash flow and staying under the leverage ratios that John was talking about. But we're very encouraged by what we're seeing and the receptiveness within those local communities.
Dan Day: It's been a while since we've got an update on the formerly EBB program. Now, I think it's the affordable connectivity program with the infrastructure bill. Just any commentary on how subscribers are trending from that program.
Teresa Elder: We're very excited about the affordable connectivity program. It's actually being highlighted today in Washington, DC here at the White House. I'm actually in town for that today. And we've continued to see that program grow and offer customers who would have difficulty affording broadband a $30 subsidy per month. We now have over 11,000 customers who are active on either the EBB or ACP program now, and that's up 1,500 since last quarter. We overall have actually over 17,000 customers that we have supported on this, but some of those have now transitioned via the two transactions we did last year to Astound and Breeze line. So, those customers are now being cared for by those companies. But we definitely feel like this is a great program to make sure that the digital divide isn't happening, and that people can continue to work and learn from home as they need to.
Operator: Your next question will come from the line of Matthew Harrigan with Benchmark.
Matthew Harrigan: I'm sure you're not going to go through the full algo with the 50 or 60 variables or whatever it is. But what's really come to surprise you? Clearly, there's an ice concentration in Florida and the Sun Bett with Greenville. But are you running this against some sort of logistic regression where you've got some qualitative variables as well as quantitative variables? And if you've had just infinite capital from private equity, maybe not infinite, do you think there's just a really, really broad swathe of opportunities? Or from your vantage point, even if it was like 10% or 15% of the US, it would be an immense opportunity. But do you really think that this is an opportunity for the taking across a really large segment of the US cable market, maybe outside the largest metropolitan areas? 
Teresa Elder: Absolutely, I believe that. And our appetites and aspirations are much bigger than what we're even talking here. We can definitely see many communities that have demographics and costs and regulatory environment and all the things that we look at, that would allow us to come in and be an alternative and a challenge to operate other markets, and we feel like that would be very successful. So, yes, we think the opportunity is much bigger than even the 400,000 here. But we're going to be judicious and good stewards of the CapEx that we have, and make sure that we're getting the right return for our investors along the way. 
Operator: Your next question will come from the line of Grant Joslin with Credit Suisse.
Grant Joslin: First, this year, we've seen some broadband providers switch from year one promo pricing followed by a year two step up over to simpler pricing with higher initial price, but then step up for year two. Is the kind of promo and step up pricing contract still the right model for WOW!? And then second, I was wondering, is AT&T U-verse price increase this month an opportunity for you to try and lure away some of that customer base? 
Teresa Elder: We have a variety of promotions and just very solid value everyday pricing as well for our customers. So, the promotions vary a lot by competitor, by market. And so, it varies. But we generally provide great value for our customers throughout the duration of their time with us. And I think that's evidenced by how low our churn has been. It's record lows, it stayed low, customers come to WOW! and then just stay with us for the long term.  In terms of AT&T, we compete against AT&T every day. So, every change they may make or a price increase certainly gives us just yet another reason that we can lure those customers away and take share. So, certainly, all those things give us an opportunity. And WOW! is very nimble and agile and really understands what each of our competitors are doing in each of our markets and make sure that we know what our alternative for those customers are to be able to bring them over to WOW!.
Operator: At this time, I'll turn the conference back over to Teresa Elder for any closing remarks.
Teresa Elder: Thanks so much. We really appreciate all of you joining us this morning and thank you for your continued interest in support of WOW!. Hope everyone has a great day.
Operator: Ladies and gentlemen, that does conclude today's call. Thank you all for joining. You may now disconnect.